Operator: Ladies and gentlemen, thank you for standing by, and welcome to the EchoStar Earnings Conference Call for the Third Quarter of 2020. [Operator Instructions]. I would now like to hand the conference over to your speaker for today, Mr. Terry Brown. Thank you, sir. Please go ahead.
Terry Brown: Thank you. Good morning, everybody, and welcome to our earnings call for the third quarter of 2020. I'm joined today by Mike Dugan, our CEO; Dave Rayner, COO and CFO; Pradman Kaul, President of Hughes; Anders Johnson, Chief Strategy Officer and President of EchoStar Satellite Services; and Dean Manson, General Counsel. As usual, we invite media to participate in a listen-only mode on the call, and ask that you not identify participants or their firms in your report. We also do not allow audio recording, which we ask that you respect. Let me now turn this over to Dean for the safe harbor disclosure.
Dean Manson: Thank you, Terry. All statements we make during this call other than statements of historical fact, constitute forward-looking statements that involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by the forward-looking statements. For a list of those factors and risks, please refer to our annual report on Form 10-K and quarterly report on Form 10-Q filed with the SEC. All cautionary statements we make during the call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place any undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. I'll now turn the call over to Mike Dugan.
Michael Dugan: Thanks, Dean, and thanks to everyone joining us for Q3 2020 earnings call. The third quarter saw the EchoStar team around the world deliver another solid quarter as we operate business in an efficient manner. The team has done a great job, staying safe in supporting this new work environment of working from home is required. We continue to grow our HughesNet satellite consumer internet service, which has become essential for so many families and businesses across the Americas. Although the current economic conditions have created some challenges for our customers in the enterprise space, we've been aggressive in managing these business risks and implement cost savings initiatives to help drive strong margins and associated earnings. Let me now turn it over to the management team to expand on their business segment before closing with some final comments and questions at the end. Thank you. Pradman?
Pradman Kaul: Thank you, Mike. Despite continued economic uncertainty, foreign exchange headwinds and some customer bankruptcy filings, we delivered another terrific quarter of earnings at Hughes. Adjusted EBITDA grew 8% in the third quarter compared to the same period last year and Hughes adjusted EBITDA margin was 40%. We increased our HughesNet subscriber base by approximately 38,000 subscribers, ending Q3 with 1,580,000 subs. In Brazil, which is our largest Latin American market, the majority of the integration work related to our recent joint venture with Yahsat has been completed. We are beginning to realize the synergies associated with the transaction after converting Yahsat subscribers to the Jupiter platform, eliminating the duplicate OSS/BSS system and consolidating the staff. The Al Yah 3 payload is now an integral part of the HughesNet service. In Mexico, we recently celebrated our first year of providing consumer satellite broadband services. We continue to roll out community WiFi services with our Facebook connectivity partnership in Brazil, Colombia, Chile, Mexico and Peru. We are seeing a steady increase in our monthly ARPUs at these community locations, with targeted marketing activities and tighter selection criteria for new sites. We expect subscriber growth to continue in our international consumer markets. Our U.S. network is operating near full capacity as we support telework, remote learning, virtual health care and other such requirements. Our focus remains on providing an outstanding customer experience while also managing churn. We continue to see robust growth in our U.S. retail ARPU, driven by the strong demand for broadband capacity. Based on an updated delivery schedule from Space Systems/Loral, we expect the Jupiter 3 satellite to be launched no earlier than the first quarter of 2022. The satellite will add significant additional capacity as well as maintain the high-quality and competitiveness of our service for unserved and underserved regions in North and South America. It leverages the latest satellite and system technology to lower our cost per bit and enable us to meet our customers' increasing usage demands. We remain in active discussions with the launch providers. Our North American enterprise business had an uptick in orders relative to Q1 and Q2 of this year. We closed deals with a new retail customer for digital media services for 2,000 sites and a new retail customer for network services. We also signed a 60-month extension with an existing retail customer, and we're very active with deployments in Q3 on several projects, including a few that were delayed from Q2 due to COVID. Although there has been a reduction in our deployment and operation of IFC systems in airplanes due to the overall state of the industry. We continue to review opportunities and are excited about the prospects associated with the recently announced strategic collaboration with Inmarsat for in-flight connectivity. We see this alliance as a continuation of our strategy of enabling service providers in the industry with our Jupiter technology and satellite capacity. We are also continuing our engineering activity with SES on the next-generation ground system in support of the SES 17 platform. Turning to our international enterprise business. In India, under the previously announced project with broadband, Nigam Limited and Telecommunications Consultants Limited to provide satellite connectivity for more than 5,000 remote gram panchayats or village councils, we have now passed the point of 50% deployment and have also installed 2 more Jupiter system gateway stations to support this large project. In addition, Hughes India won the Frost & Sullivan 2020 Indian VSAT service provider Company of the Year Award recognition of our leadership in the Indian satellite broadband market. We continue to work on closing our joint venture agreement with Bharti Airtel in India. And this joint venture will help us bring greater scale, operational efficiencies and market reach to provide Indian customers with broadband solutions for enterprise and government networks. As a reminder, Bharti will contribute its VSAT business to Hughes Communications India Limited, our existing Indian subsidiary for a 33% stake. As previously noted, this is subject to regulatory approvals. In terms of system sales, a leading African telco selected the Jupiter system to power their satellite backhaul network, supporting hundreds of cellular base stations. We received an order for several hundred remote terminals to support an African Ministry of Education effort to bring connectivity to schools throughout the country. For the Eutelsat Konnect program, we have completed the installation and commissioning of the gateway stations and have received orders for terminals to be deployed on the new Konnect satellite. Also, we continue to see expansion of operational Jupiter systems in Indonesia, Africa and the Middle East with operators ordering additional gateway equipment and remote terminals. While still a small component of Hughes, our defense business is having a strong year with significant program wins with the United States Air Force, Army and major primes. Also, the Pennsylvania State Police has selected our government enterprise group to provide Hughes on managed broadband services to over 200 sites under the commonwealth of Pennsylvania vast user connectivity contract. Our multi-vendor program that serves state agencies throughout the commonwealth. We expect to see continued orders and revenue growth in these business segments going into 2021. As mentioned in our second quarter call, we have filed an application to participate in Phase I bidding of the FCC's Hard Off opportunity. Hard Off rules provide preference to fiber and to a lesser extent, fix wireless, but due to the size of our total addressable market and the cost challenges associated with serving low-density areas, we do not anticipate a negative material impact to our business. If we are ultimately able to secure funding, we would expect economic upside in our U.S. consumer business. We announced last quarter that we've agreed in principle to join the consortium of the U.K. government and Bharti enterprises purchasing OneWeb from bankruptcy. It is anticipated that the sale of the company to its new owners will be completed before the end of the year, subject to final regulatory approvals. We remain excited about continuing our involvement with OneWeb as an investor and as a technology and distribution partner. We believe that GEO and LEO systems will be complementary and see numerous strategic synergies in the future for our business as complex hybrid networks become the norm in our less industry. We recently announced the commercial availability of our artificial intelligence for IT operations solutions for enterprise networks. The technology automatically predicts and preempts or self-heals undesirable network behavior. In use across over 32,000 sites, this artificial intelligence operations feature has prevented service disrupting systems and routers, SD-WAN devices and firewalls with an estimated 70% success rate. This self-healing technology targets the network where device failure can be catastrophic for a site and cost hours of network downtime. Intelligent networks of the future, regardless of transmission method, must survive and thrive in the presence of floods, fires, power outages, earthquakes, not to mention pandemics and even war. At Hughes, our engineers continue to innovate and design practices that make networks more intelligent and will be an integral part of expanding our business in the future. So as you can see, we had another very strong quarter, and I'm looking forward to closing out another successful year and setting the stage for even greater achievements in the future. Let me now hand it over to Anders.
Anders Johnson: Thanks, Pradman. Good morning. In Q3, ESS continuing operations revenue was $4 million, up slightly from Q3 of last year. We continue to pursue opportunities to lease our Ku-band capacity, although it remains a very difficult commercial market. On the global S-band front, the launches of our first pair of NGSO S-band satellites for our EchoStar global subsidiary delayed from Q1 due to the pandemic took place in Q3, and the satellites are currently in orbit and in the commissioning phase. We expect to launch a third nanosatellite in 2021. As business development activities continue, we've been pleased to see a range of vertical players express interest in supporting the EchoStar global mission. EchoStar Mobile, our European subsidiary, has continued to ramp up proof-of-concept activities with multiple distribution partners over the last quarter and has seen a strong interest in its new products and services and a lot of appetite for the application of MSS technologies to emerging verticals, including autonomous platforms and 5G integration. We continue to work towards our longer-term strategic goal of full integration of S-band satellite services into 5G networks and to explore ways to integrate our complementary ground component authorizations in the EU into these and other opportunities. I'll now turn it over to Dave.
David Rayner: Thank you, Anders. Like previous quarters, I will be speaking to our adjusted EBITDA measurement. The measurement excludes from EBITDA certain nonrecurring items as well as gains and losses on our investments and unrealized gains and losses on foreign exchange. More details are on the GAAP to non-GAAP reconciliation in our earnings release. We believe that adjusted EBITDA more closely represents our operating efficiency and financial performance. Consolidated revenue in the third quarter was $474 million, up slightly compared to the same period last year. Hughes revenue was $467 million, higher by $3 million than last year despite negative foreign exchange impact of approximately $11 million. Strong growth in Hughes consumer service was driven by higher ARPU in the U.S. and continued growth in Latin American subscribers. This was offset by lower equipment sales to enterprise customers compared to last year, primarily driven by the impact of the OneWeb bankruptcy as well as lower sales of domestic and international enterprise services. EFS revenue in Q3 was $4 million, up slightly on the same period last year, while corporate and other revenue decreased about $2 million, primarily due to certain real estate being transferred to DISH in Q3 last year as part of the BSS transaction. Consolidated adjusted EBITDA in the third quarter was $167 million, an increase of over 9% from last year. Hughes adjusted EBITDA in Q3 was $186 million, higher by $13 million to Q3 last year. The margin associated with the growth in consumer broadband revenue was the primary contributor to the large increase. Corporate and other was slightly higher due primarily lower losses in equity affiliates. Our net income from continuing operations was $23 million in Q3, an increase of $46 million. This change was primarily due to the higher operating income of $11 million, improvement in foreign currency transactions of $22 million, gains on investments of $7 million and lower income tax provision of $2 million. Capital expenditures in the quarter were $98 million compared to $95 million in Q3 last year. The increase was primarily due to higher spend on consumer equipment, driven by growth in our consumer business. Free cash flow defined as adjusted EBITDA minus CapEx was $69 million during the quarter, $11 million higher than the same period last year. As we move into the fourth quarter and next year, operationally, our goal is to generate the highest yields possible on our U.S. capacity, grow our consumer and Latin American subscribers and continue to look for opportunities within our enterprise business. Our balance sheet remains the strongest in the industry, and we continue to seek opportunities to deploy cash for both organic and inorganic growth. Let me now turn it back over to Mike.
Michael Dugan: Thank you, Dave. I do want to take this opportunity to recognize how well the executive team and the whole employee base has held up through these trying times and dramatically donate and dramatically perform their duties in work-from-home situation. So I really, really appreciate it. The COVID-19 pandemic has definitely affirmed the need for global connectivity and communications. And I'm truly excited about our position within the satellite communications industry, both short and long term. The demand on all our networks is currently at an unprecedented level, and we continue to innovate ways to provide more broadband services domestically and internationally. Regardless of the network type, demand for service will continue to outpace supply, and we are very well positioned to remain on the forefront for supporting the continued growth in this segment of the industry. Let me now turn it over to the operator to start the question-and-answer session.
Operator: [Operator Instructions]. Your first question comes from the line of Ric Prentiss with Raymond James.
Richard Prentiss: Glad to hear you're doing okay through these COVID troubling times. I have a couple of questions for you guys. First, on the Jupiter 3 schedule, Pradman, you mentioned it been now delayed a little bit from the manufacturer. How should we think about launch to service time frame? But more importantly, can you guys grow and maybe ballpark how much can you grow on the Hughes side of it, revenues and EBITDA given the capacity constraints?
Michael Dugan: This is Mike Dugan. I'll take the first question. We are aggressively - the only advantage to the delay in the delivery of the satellite is there's a lot of things going on in the launch industry. And we do believe that we're going to have a launch that's going to get into service probably a lot quicker than we expected before. Is it going to make up the slips in the production of the satellite, I can't answer that right now, but we're optimistic? Certainly, as you know, California and the area where Jupiter 3 is being assembled, has been hurt dramatically by restrictions of people going into the office and requirements to work from home and you can't assemble a satellite working from home. So there's been significant delays there, and we're working very closely with the manufacturer to both understand and innovate ways to work around some of the delays and get the satellite as quick as possible. We're very optimistic from time of launch to launch of service is going to be a fairly short period of time. I can't give you a specific commitments right now, but I can tell you that it's a huge focus here every day. As to the second question, please remember, it's easy for people to focus on the U.S. business because we've been so successful there. But we have a lot of international operations that are growing every month, and we continue to be able to grow. There's areas that we do have capacity that we're able to grow there to continue our growth until we get Jupiter 3. We're also looking at technology, which has helped us expand the number of customers that we can support in various beams under the current requirements of video, work from home and so on and so forth. We've done a great job on that. So I hope that answers your question. I'm sorry I can't be more specific.
David Rayner: And Ric, this is Dave. Just to add on a little bit to what Mike said in terms of the revenue growth. I mean, clearly, we're going to be somewhat restricted on how much we can grow consumer business in North America, but we do expect ARPU to continue to grow, which is going to provide for both top line and the bottom line. And as Mike said, that we're not seeing any slowdown or do we anticipate any slowdown in consumer business in South America. In addition, on the enterprise side, that has been somewhat held back so far this year because of a variety of pandemic related existing businesses as well as some businesses that are struggling. But there are a number of positive outcomes on the horizon from the enterprise business that we foresee potentially some significant upsides.
Richard Prentiss: Okay. A lot of discussion in the marketplace with the Starlink beta test out there. Can you guys talk a little bit about what you see in that offering? How you think it compares to your offering and what it might mean in the competitive dynamics as we look out into the future?
Michael Dugan: Pradman is going to take that question and deal with it, but we can only say, realize it's a beta test, realize the current pricing is to start to grow a segment that they've never dealt with before. But Pradman's got more specific. So Pradman, would you take over?
Pradman Kaul: Sure. As the fundamentals are that we are in a whole bunch of markets in the Continental United States and in South America. In all our markets, the requirement of latency is not a major deal because if you look at the traffic that we are carrying on the Internet, 70% to 80% of it is video, which is really insensitive to latency, which is the biggest advantage that Starlinks would have on our GEO offerings. GEO generally provide the lowest cost per bit, the highest density and in the end, lowest cost per terminal. LEOs obviously have the lower latency. But we believe that with the markets that we are in, we have total coverage, which is another advantage of LEOs over the United States. And we have speed and bandwidth available with J3 that can meet all the needs of that market. But the big advantage we would have over Starlink is the economics. As you can see from their recent offering, their basic offering requires the customer to put up $500 upfront and then the base plan at $99 per month as the cost. But you compare that to our base offering, we charge somewhere between $0 to $100 upfront for the customer and the base offering is at $60 per month. So economically, we are significantly at an advantage over Starlink. Now the reason we have that is the cost of the phased array antenna. Our antenna in Jupiter, it costs $40 to $50. I think most people would agree that today, the phased array antenna costs are around $1,400, $1,500. So the economics are just going to not be a big advantage for them. In fact, it's going to make our offerings much more attractive. Now in terms of speeds, with Jupiter 3, we'll be able to have plans that offer 100 megabit per second speeds, which is the maximum speeds that Starlink is talking about. And in terms of capacity, we'll be adding another 500, 550 gigabits of capacity over this region in - with the launch of J3. And I think if you look at the - and analyze capacity that Starlink will add, people have talked about 1.3, 1.2 terabits per second assuming that they have full usage of the Ku-band spectrum, the 2 gigahertz spectrum to the user terminal. But remember, the OneWeb guys have the priority in Ku-band to reuse a terminal. So let's assume they share the spectrum with starlings, they're not going to get the full spectrum that has to be they'll have to work out coordination between the two. So all in all, for the markets that we are in, I think we are not very concerned. We always respect the competition. We never discount them but I think in this case, for the markets we are in, I don't expect to see a significant impact on the size of the market or a competitive posture in that market.
Richard Prentiss: That's very helpful. One quick follow-on question. We get the question a lot from people. What's kind of the average population density, where your customer base lives?
Michael Dugan: Well, that's not super. It's definitely - we're all though. We've got customers everywhere. But Terry, do you have a number that can answer that? I don't think. Go ahead.
Terry Brown: Yes. I mean, I think, generally, what we've seen very, very low rural areas with the majority of the subscribers and, I think, households, five households, less than - or within 1 kilometer of each other. So very early.
Pradman Kaul: I think it's also a function of the actual offering that you're making to that market segment. So it will vary. But it's definitely rural is less. It's not the urban areas. And it's not the high-density areas. It will always be the lesser density. It's not a discrete line that you can draw.
Terry Brown: Yes. The other thing that impacts it is what's the competitive offer. There's certainly areas where we're very successful that are not that rural because we're a better alternative to what's available.
Richard Prentiss: Okay. But pretty rural, something in that - was that 5 homes per square kilometer. Is that what you're saying, Terry? On average if you can't say specific.
Terry Brown: If you want a number, that's the best one we can give you. But again, I think it varies all over the place.
Pradman Kaul: Yes, it varies all over. I want to stick to one number.
Richard Prentiss: I understand. I hope you continue to be safe and well and your families and employees during this difficult time.
Michael Dugan: Thank you so much. And the same for you guys. We really appreciate your support.
Operator: Your next question comes from the line of Chris Quilty with Quilty Analytics.
Christopher Quilty: I wanted a follow-up on the Inmarsat announcement. Obviously, there was a different incident of partnership back a couple of years ago where there where you made a bid for the company. So apparently, some of those issues have been hammered out. Can you talk about how the relationship came about in terms of partnering? And then the second part of it, how do you look at the use of the Jupiter 3 capacity between the IFC market and the consumer opportunity, in terms of where you would contribute the most capacity or what sort of arrangement you got in place with Inmarsat, assuming they see success in the North American market?
Pradman Kaul: Yes. Actually, we've been talking to Inmarsat about this kind of a relationship for a long time, probably 4, 5 years. And we've now been able to consummate a deal that made sense for both parties. But recently, it's becoming clear because of a couple of airlines that are actively looking to replace their existing systems. That a global coverage, combined with capacity over the United States was a big requirement. And we couldn't offer that because we didn't have the coverage for Airlines and Inmarsat had very little capacity available over the United States. So that brought us together, and we had a series of discussions and came up with a technical solution where the modem in the planes that Inmarsat could accommodate multiple modems or multiple waveforms. So in addition to the existing Inmarsat, they form by adding a modem card from Jupiter technology, we could have these planes access both the Inmarsat Space segment and Hughes Jupiter Space segment. So that made a great sense because now Inmarsat could offer global coverage to their customers with a significant amount of capacity from Jupiter over the Continental United States. So that's how we came up with this arrangement. And I think it makes sense for both parties, and we're very excited about competing now in the IFC market with some of the other folks that really can't offer both as effectively.
Christopher Quilty: Understand. And just the balance between the consumer and the IFC market, Inmarsat famously a couple of years ago, said that they think aviation could be their biggest market, even more larger than their traditional maritime ViaSat over the years has sort of emphasized the IFC over their traditional consumer. How do you look at that balance of where you want to put your eggs into which basket?
Pradman Kaul: Well, the answer is clearly the economics of each application and what each market will bear. The way we have designed the system, we've basically taken a piece of each beam based on our estimation of the market and reserved it for aeronautical communications and the rest for the consumer. But that's not cast in iron. If we can make better revenues and better economics in one segment versus the other, we can adjust that capacity in each beam. Beam by beam or percentage of each beam. So it's a pure economic decision, which we don't have to do now because if system is flexible enough to support that decision all through the future of the satellite.
David Rayner: And Chris, this is Dave. That also applies not just to IFC versus consumer, it also applies to seller backhaul in some markets to community WiFi to enterprise. We prioritize where we can get the best return per bit of capacity. Historically, consumer has given us great returns. But that doesn't mean that we're exclusive to consumer and that we're not going to look at other opportunities. But as Pradman said, it all comes down to work and we get the best return, on the capacity, and we'll move the capacity in that direction.
Christopher Quilty: Understand. And Pradman, you have taken sort of an arms merchant approach to this IFC market. So relationship with Inmarsat is consistent with that. But does that create any friction with traditional partners, including Global Eagle where you've supplied them with modems and services over the years that ostensibly would be competing with Inmarsat and is a Ku-band in service versus Ka-band for Inmarsat?
Pradman Kaul: No, that's not been the problem. As you know, in the history of our company, the segment of our business that sells equipment or services to carriers, we've always sold to multiple carriers and multiple competitors. And we are very upfront with our customers. They know upfront that in this market that we are not exclusive. And that we'll supply the best - to the best of our ability to all our customers. And the customer will choose us if he thinks he's getting the best deal on the other hand. So we have to be - it keeps us on our toes. We have to compete effectively against our competitors. But it's all done in our industry without people getting upset if we sell to their competitor as long as we are open and fair on how we price and make the service available.
Christopher Quilty: Understand. The delays on the Jupiter 3 satellite, are they entirely COVID related delays? Or are there other redesign issues that may be at play there? And second question, would that delay in any way, increase the cost of the satellite?
Michael Dugan: So this is Mike. I don't think it's appropriate to - for us to talk about specific issues on Jupiter 3, although COVID is a huge issue, as you know. That's the cost. I don't think we're expecting any kind of an impact.
Pradman Kaul: Absolutely not.
Michael Dugan: And so if anything, there may be actions to reduce cost. Who knows. Like I said, as the industry has progressed. We've had great progress on the launch vehicle and the economics of launch vehicles and so on. So I don't think we're expecting anything but a positive situation there. But we're very focused on the assembly and test that way.
Pradman Kaul: But also to add to what Mike just said, there's been no significant redesign effort. It's not been a technical problem. It's more of getting all the work done. And then COVID obviously has not helped.
Christopher Quilty: Understand. And the last question is on the international business. You've continued to outperform in Latin America with your sub growth. Do you think you can maintain that type of sub growth over the next year or so? Or do you have potential capacity constraints on the satellite that you're currently leasing in those areas?
Pradman Kaul: No, we have a lot of capacity. And I think over the next year or so, next year, two years, we should have enough capacity. And I think we'll maintain good growth rate of subs consistent with what we've done in the past. Everything is looking good.
David Rayner: And just to add to that, Pradman. I mean, Chris, remember, we ended last year, we added the capacity on the offset satellite we got through the JV. We were starting to get constrained in certain themes in Brazil but bringing in the onset gave us additional capacity into those tight markets. And so now we've got adequate capacity. Our current forecast has us maintaining capacity or maintain the sales momentum and enough capacity to sales momentum, certainly through what appears to be the launch of J3.
Christopher Quilty: Great. And just shifting the final international India. I know there's been a lot of political developments ongoing there. You obviously have the JV that's still coming into place. There is a big issue of capacity, satellite capacity in the region. Can you give us an update on your latest thoughts and the opportunity in that market?
Pradman Kaul: Yes. We continue - in India, we're focused on the enterprise market right now. And that includes the cellular backhaul market and the community Wi-Fi. Clearly, with the potential new JV partner, Bharti, there's either the largest or the second largest cellular provider in India. So the cellular backhaul market from just our own partner is going to be reasonably huge. In addition to the banks and the gas stations and the enterprises that we are serving. So all that's very positive. The space segment part has been always a bureaucratic problem for us but we're making progress. The government has now just announced in the last few weeks, a new space policy, where they're going to allow foreign ownership of satellites and launch facilities. They are actually beginning to codify that policy as we speak, and we are hopeful with that that more space segment will be available more on international terms and prices, and that should open up that market significantly.
Operator: Your next question comes from the line of Michael Rollins with Citi.
Michael Rollins: First question is since you did bring up the subject of Hard Off, can you share with us what percent of your Hughes subs are in those census block groups roughly?
Michael Dugan: Yes, I don't know how to answer that question right now.
Pradman Kaul: We have bids in - we're bidding on the hard offs auctions as we speak. So we'll have to see how it turns out.
Michael Rollins: Okay. And have you thought about the opportunity to leverage the MVNO within DISH and the Boost business, to try to create a product bundle with wireless and satellite broadband for your customers or future customers.
Michael Dugan: I don't know how to answer that question either. I mean, has it been considered? All aspects of partnership and so on have been considered. Are we working a specific product with Boost right now? No, we're not.
Michael Rollins: Okay. And then just one other question. As you look at the cash balance on the balance sheet, are there certain placeholders that you have in your internal budget that we should just be mindful of in terms of saving a certain amount or certain investment priorities and initiatives that you're working on that we should just sort of consider in terms of how that cash should get used in the future.
David Rayner: I mean, I think from an organic use of it, certainly, the business generates enough free cash flow to support itself going forward. Where a meaningful amount of that could get used if we start building out S-band, either at GEO or NGSO and that business would require significant capital as we've said in the past, our intent there is not to build it and there will come scenario in terms of building that network, but to at least have an anchor tenant that supports the deployment of that network. But from a significant organic use of the capital that would be the one thing that would somewhat be on the horizon.
Michael Rollins: And just one last one. As we've seen broadband in the marketplace, the adoption of that accelerate through the pandemic. Are these lost opportunities for the customers that you're going after just because of the delay in the Jupiter satellite? Or does the product and the value that your product provides once the new satellite gets up in the air, does that create the same type of opportunity to gain share and grow your base over time?
David Rayner: If I understand what you're saying, I mean, certainly, if we had more capacity today in this marketplace, specifically in the U.S., I think we would have the ability certainly to grow the customer base and our market share more than we have. There's no question that the relative lack of capacity diminishes that opportunity. In terms of the long term, I think the opportunity is there. Our customer's going to buy service from us today with the promise of something multiple years from now? No, consumer too is much shorter term in the thought process than that. But if the underlying question is, are we hurting ourselves today by not having the capacity? Yes, we'd like more capacity. There's no question.
Operator: You do have a follow-up question from the line of Rick Prentiss with Raymond James.
Richard Prentiss: Seems we have a little bit of time left. Following up on Chris' questions about India. Is there an update as far as when you think the Bharti JV might close, we're coming up on year-end pretty soon here? So should we think it can make year-end? Does it look more like middle next year? What kind of time frame should...
Pradman Kaul: We're hoping by year-end. We're hoping by year-end. It's in the final steps.
Richard Prentiss: That's great. And I think the AGR issue in India got resolved over to be a 10-year payment. How does that affect you? I know you guys have taken some reserves in that area, but how is the AGR affecting ongoing?
Michael Dugan: Dave, do you want to take that one?
David Rayner: Yes. Sure thing, Dave, just coming off mute. Look, the AGR case is over as far as the Supreme Court is concerned, and we've elected the 10-year payment plan. In addition to the to that, as you may notice, we have a lawsuit pending in New York against the former owner of Hughes for indemnification there. And that's going to take a bit more time to play out so we're watching that and pursuing that aggressively.
Richard Prentiss: Okay. And then Dave, you brought up the S-band possible build there. Anders, any update as far as where you're at in discussions with anchor tenants? What kind of time frame should we be thinking about this coming together? I think Anders, you talked about autonomous platforms and 5G. But how should we think about the S-band time frame?
Anders Johnson: Well, certainly...
Michael Dugan: Anders, do you want to take it?
Anders Johnson: Sure. Certainly, the inability to travel and conduct some of the face meetings we would otherwise be having has had an effect on things. But pacing probably a lot of the development at this point is the 3GPP standards for non-terrestrial radio, which the S-band piece of 5G ecosystem would be. A lot of those standards are now not due out until first quarter of '22 and some of those have sort of downstream product implications. But we continue to have - we're running in parallel paths with sort of layers of different customers for the network that are not necessarily competitive with one another, some of whom would have immediate sort of large-scale use of the network through devices that are capable of communicating with the network we're thinking of building. But it's certainly not anything in the near term, Ric, we've not suspended. We continue to have discussions with a lot of the vendors who we were talking about the Hard off the possible from a payload standpoint. We continue to have some of those discussions. But until we identify customers that are willing to step up to material commitments for use of the network. All of it is being impacted by the current situation. But I would expect hopefully, in 2021, some of those delays to be behind us, and then we can move forward with it. But realistically, a network of this type especially in the NGSO environment really doesn't become a reality until 2023, 2024.
Richard Prentiss: Right. Right. Okay. But announcements before then, obviously, as we source anchor tenants, network topography, that sort of thing.
Anders Johnson: Correct. And a number of the potential users are capable of using our in-orbit assets. And Echo XXI over Europe is the test bed now that we're conducting a lot of testing with some of these potential partners. And certainly, doing a bunch of the testing of the 5G standards to verify the performance of the S-band relative to the other devices that'd be picking up off old.
Richard Prentiss: Okay. And last one on the follow-up side. OneWeb, you brought up - hopefully, they're coming out of CK at the end of this year. How should we think about what that relationship means for Hughes as far as equipment but also that distribution relationship, how does that play out over the next coming 1 to 2 years?
Pradman Kaul: Yes. We hope to sign significant contracts for equipment and services. So that's as a vendor, and that should be a good relationship. We are - we, hopefully, in the next couple of weeks. When they come out of bankruptcy, we'll execute those contracts. And in terms of distribution, we are negotiating with them distribution agreements where we could - where they would be a subcontractor to us in some of - like a wholesale retail relationship in some cases. And also in parallel, in some other applications, they could be the prime and we could be the sub doing what we offer. So we expect a close relationship as a vendor as a technology partner and as a distribution partner.
Richard Prentiss: Great. And is it still thought that OneWeb is not really going after consumer, but more of the enterprise side?
Pradman Kaul: On the Gen1, they will not go past. They will not go again - I mean, for the consumer market, they're focusing on the mobility and enterprise markets.
Operator: And there are no further questions at this time. I'd like to turn the call back over to Terry Brown for any closing comments or remarks.
Terry Brown: Yes. Thank you, everybody, for joining today, and we look forward to talking to you next quarter.
Operator: Ladies and gentlemen, this does conclude today's conference call. We thank you for your participation, and you may now disconnect.